Operator: Good day and welcome to Abeona Therapeutics Second Quarter 2020 Financial Results and Business Update Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I'll now introduce your host for today's conference, Greg Gin, Vice President of Investor Relations at Abeona. Please go ahead. 
Gregory Gin: Thanks, Christie. I'd like to welcome everyone, and thank you for joining us on Abeona Therapeutics conference call to discuss our second quarter 2020 financial results and business update. Yesterday after the close of U.S. financial markets, Abeona issued a press release, which is posted on our website at www.abeonatherapeutics.com. 
 On the call today with prepared remarks are João Siffert, Chief Executive Officer of Abeona; and Ed Carr, Chief Accounting Officer. We are also joined by Michael Amoroso, Chief Commercial Officer. 
 After prepared remarks, we will host the Q&A session. Before we start, I'll review our safe harbor statement. Remarks made during today's call may contain projections and forward-looking statements regarding future events. Forward-looking statements are made pursuant to the safe harbor provisions of the federal securities laws. These forward-looking statements are based on current expectations and are subject to change and actual results may differ materially from those expressed or implied in the forward-looking statements. Various factors that could cause results to differ include, but are not limited to, those identified under the section entitled Risk Factors in the company's annual reports on Form 10-K and quarterly reports on Form 10-Q filed by the company with the Securities and Exchange Commission. These documents are available on our website at www.abeonatherapeutics.com. And with that said, I will now turn the call over to João. 
Joao Siffert: Thank you, Greg. Good morning, everyone, and thank you for joining us to review our second quarter 2020 financial results and business highlights. We remain committed to our important mission of working together to deliver gene and cell therapies for people impacted by serious diseases. During the past several months, our team has remained resilient in the face of COVID-19 pandemic and has delivered on our goals in clinical development, manufacturing and regulatory affairs toward bringing urgently needed treatments to patients with recessive dystrophic epidermolysis bullosa or RDEB and Sanfilippo syndrome, also known as MPS III. 
 I'll start with the update on EB-101, our autologous gene corrected cell therapy for the treatment of RDEB. Patients with RDEB face a lifelong struggle with fragile skin and easily tear -- that easily tears and blisters. Most patients develop large wounds that remain unhealed, often covering a significant proportion of their body and currently relying solely on palliative measures that include very painful and time-consuming and wound care. EB-101 has the potential to be the first approved therapy for RDEB and the only durable treatment to address large chronic wounds, which are the most painful and debilitating and require involved care and affect the majority of the RDEB patients. 
 We're pleased to report that we resumed study enrollment in our pivotal Phase III called VITAL study in late June, following a pause due to the COVID pandemic. The second patient has since been treated and a third patient is expected to be treated in the coming weeks. Target enrollment for the vital studies is 10 to 15 patients with RDEB, comprising approximately 30 large chronic wound sites treated in total. We continue to work closely with the team at Stanford to prescreen patients and to treat prescreen patients as soon as possible. We currently anticipate completing enrollment in the VITAL study in early 2021, depending on how long the impact of the COVID-19 pandemic lasts, including travel restrictions and concerns about patient and/or staff safety. 
 Data from the completed Phase I/IIA trial of EB-101 reported to the Society for Pediatric Dermatology or SPD, 45th Annual Meeting in July, provided a detailed analysis of the considerable and durable reduction in wound burden resulting from EB-101 treatment of their large chronic RDEB wounds, lasting 3 to 5 years. Furthermore, wound healing at 50% or greater following EB-101 treatment was associated with no pain at the treated sites at 3, 4 and 5 years post-treatment compared with presence of pain in 53% of wound sites at baseline prior to treatment. 
 The ongoing VITAL study will further characterize the relationship between reduction of wound burden and pain relief following EB-101 treatment. At SPD, we also presented a poster that provides insights on the significant disease burden of RDEB, highlighting data from a literature review of 65 studies under clinical, humanistic and economic impact on patients living with RDEB and their families. The disease burden and management of RDEB takes an extraordinary toll on quality of life, which underscores the need for therapies that reduce wound burden and the associated humanistic consequences and economic impact. 
 Now let's turn to our adeno-associated virus, AAV-based investigational gene therapies, ABO-102 and ABO-101 for MPS IIIA and MPS IIIB, respectively. In July, we held a kickoff meeting under the EMA Priority Medicines or PRIME program, which included members of the Committee for Advanced Therapies, or CAT, and the Committee for Medicinal Products for Human Use, CHMP of BMA. At the meeting, we presented our plan toward registration of ABO-102 for MPS IIIA, taking advantage of the PRIME Designation. PRIME is EMA's program to accelerate assessment of promising therapies that demonstrate the potential to address substantial unmet medical need based on early clinical data. Based on the meeting, along with previous input from the CHMP and the pediatric Pediatric Committee, PDCO of BMA, we anticipate submitting a marketing authorization application for EU conditioned approval of ABO-102 for MPS IIIA in 2023. 
 Regarding the U.S. regulatory path for ABO-102 and MPS IIIA, we're continuing to seek guidance from FDA, we acknowledge that the FDA is currently focused on matters related to COVID-19 and all the life-threatening conditions is reflected in its issued guidance put out in May. We look forward to providing an update after we receive feedback from the FDA. 
 Let's now move on to patient enrollment in our MPS III Phase I/II trials. Total enrollment to date in the Transpher A study for MPS IIIA 17 patients, including 11 patients dosed in the Cohort 3. Total enrollment to date in the Transpher B study for MPS IIIB is 9 patients, including 2 patients dosed in Cohort 3. We anticipate additional enrollment in the programs in the coming weeks and potentially completing enrollment in both Transpher A and Transpher B studies by the end of 2020. Updated positive interim data from the Transpher A and Transpher B studies was presented at the American Society of Gene & cell Therapy 23rd annual meeting in May. And during the MPS Expert Webinar of International Symposium on MPS and related diseases in July, both these presentations are available on our website. 
 The finding support previously reported data showing preservation of neurocognitive skills now up to 2 years among the 3 young patients treated in dose Cohort 3 of the Transpher A type. In addition, improvements in multiple disease-specific biomarkers and a safety -- favorable safety profile in MPS IIIA and MPS IIIB patients after treatment with ABO-101 and ABO-102 were observed in both studies. 
 Turning to our manufacturing facilities. We resume internal operations at our fully integrated quality and manufacturing facility in Cleveland in June. Our manufacturing activity support the increased activity in our clinical programs, including manufacturing EB-101 drug product for the Phase III VITAL study. We also initiated process development that will enable production in-house of the retrovirus used for EB-101 manufacturing manufacturer, providing us with increased control of the supply chain and product quality while reducing costs. 
 We also resumed process development activities that -- to enable in-house manufacturing of commercial supply of ABO-101 and ABO-102. 
 We're now on the design stage for additional manufacturing facilities within the existing space to support the advancement of our clinical programs and also commercial manufacturing. 
 Before I turn the call over to Ed for the final financial review, let me introduce and welcome Michael Amoroso, our new Chief Commercial Officer. Michael joined us in July and brings over 20 years of product commercialization experience in biotechnology and pharmaceutical industries with a focus on cell and gene therapies. Prior to joining Abeona, he held various commercial leadership positions at Kite, Eisai, Celgene and Sanofi. At Kite Michael was responsible for the worldwide commercial organization for the autologous CAR T-cell therapy YESCARTA. His proven track record in commercialization and supply chain management for personalized autologous cell therapies will be incredibly valuable as we plan for a potential go-to-market strategy for EB-101. I'll turn it over to Michael to say a few words. Michael? 
Michael Amoroso: Thank you, João. Good morning, everyone. I'm very excited to join Abeona. It's an exciting time to join the team, given the continued progress with the EB-101 VITAL study and the AAV clinical programs, the clarity on the clinical development path and regulatory strategy in the EU for ABO-102. 
 During my first few weeks on the job, I started working with the experienced team here to help plan for potential commercialization of EB-101 and the precommercialization strategy and activities for the AAV-based gene therapy programs. I look forward to providing updates on our progress on future calls and speaking with each of you. Thank you, João. Back to you. 
Joao Siffert: All right. Thank you, Michael. We're very pleased to have Michael join the team. During the quarter, we also appointed George Migausky and Paul Mann as independent members of our Board of Directors. George and Paul are both highly regarded professionals with substantial financial management, operational business development and capital raising experience in the biotechnology industry. In addition to their Board service, George serves as the Chairman of our Audit Committee, and Paul serves as a noncommittee member. 
 With that, I'll now turn the call over to Ed Carr, our Chief Accounting Officer. Ed? 
Edward Carr: Thank you, João. I'd like to remind everyone that we have recently filed the Form 10-Q, which is available on our website and where you can get the details on our financial results. 
 In summary, our cash, cash equivalents and short-term investments, as of June 30, 2020, were $107.9 million compared to $129.3 million as of December 31, 2019. Net cash used in operating activities was $9.5 million for the second quarter of 2020. R&D spending was $6.1 million for the second quarter of 2020 compared to $16.3 million in the second quarter of 2019. The decrease in R&D expenses was primarily due to decreased manufacturing, clinical and nonclinical development activities arising from the effects of the COVID-19 pandemic as well as cost savings associated with the decision to internally manufacture retrovirus for the EB-101 program. 
 G&A expenses were $5.5 million for the second quarter of 2020 compared to $5.6 million in the second quarter of 2019. Net loss was $13 million or $0.14 per common share for the second quarter of 2020 compared to net loss of $23.9 million or $0.49 per common share for the second quarter of 2019. And with that, I will turn it back over to João for concluding remarks. 
Joao Siffert: Thank you, Ed. Thanks again, everyone, for joining us today. We appreciate your interest in Abeona and our continued progress. In summary, it is a very exciting time for us as we continue to advance our clinical programs with the goal of providing safe and effective gene and cell therapies to patients who currently have no approved treatment options. To that end, we have delivered on key goals in clinical development, manufacturing and regulatory affairs over the past several months. We have more left to accomplish and are keenly focused on working toward completing enrollment in our EB-101 pivotal VITAL study in RDEB, and our gene therapy clinical studies in MPS IIIA and IIIB. With our strengthened leadership team, we're beginning to prepare for 3 potential commercial launches over the next 3 years. 
 I'll now turn it over to the operator for Q&A. And thank you, everyone. 
Operator: [Operator Instructions] And our first question comes from Maury Raycroft with Jefferies. 
Maurice Raycroft: Congrats on all the progress. First question, just wondering if you could talk more about the discussion with CHMP. I guess, maybe talk about the previous input you've gotten from them. And what aspects you've lined on for potential registration for the IIIA? I guess what else you have to do before the EMA application filing in 2023? 
Joao Siffert: Yes. Thanks, Maury, and thanks for your question. So this is an ongoing process. We had -- now this is the third such meeting with European regulators. This is, again, different from scientific advice. This is not the fully-binding agreement, but certainly, the reinforcement of the discussions we had previously made it such that I think the general feedback is converging to a mutually agreed path, and that's what I alluded to on the text on the prepared remarks. This covers both the length and scope of the clinical data, of course, predicated on successful clinical data as we follow patients long term, including patients that we have recently enrolled and expect to enroll before the end of the year. It includes the process of generating a commercial-grade product, which we expect will be done in the coming months, as we've mentioned, this is a process being developed within Abeona. And we have, I think, a fairly clear road map -- fairly, no, probably a very clear roadmap for manufacturing the product and also ensuring that this product is comparable and therefore, appropriate for use commercially. So between these 2 large sort of areas, right, CMC quality and clinical regulatory, I think we have a very clear road map, of course, coupled with the fact that we've been able to enroll additional patients in the study that fall within the group of patients who stand to arguably benefit the most. That is young patients who are not -- don't have very advanced disease yet. 
Maurice Raycroft: Got it. That's helpful. And then for EB-101, you mentioned plans to dose additional patients in the coming weeks. I guess, can you say if this means that what you're seeing in the first 2 patients gives you the ability and confidence to pick up pace with dosing multiple patients going forward? If you could talk more about that? 
Joao Siffert: Yes. So we're obviously not going to comment on patient by patient, and it's probably too early to tell on these patients anyway because ultimately, the goal here is long-term duration and some of these patients were just treated. So we will not provide that. But it is -- it does reflect the fact, number one, that we've been able to manufacture successfully, that the administration of the treatment itself, the transplant of the EB-101 was done successfully, and then there was no safety concerns in the previously treated patients. So of course, all of these are good news. We take it for granted given the successful completion of the Phase I/IIA, but we obviously have cared deeply that this has done safely. I think we'll have more data -- long-term data later in the year and early next year. 
Maurice Raycroft: Okay. Will you be able to dose multiple patients going forward though? Yes, we -- as we mentioned, we just dosed a patient, we have another patient scheduled for dosing, and we hope to be able to dose at least 2 patients a month if all goes well. Of course, a lot of it is predicating on scheduling, which is not scheduled, especially during the pandemic. 
Operator: And next, we'll go to Raghuram Selvaraju with H.C. Wainwright. 
Blair Cohen: This is Blair Cohen on for Ram. A couple of questions for me. In the VITAL trial, are all the prescreen patients still eligible for enrollment? Or did you lose some of them? And if so, how many did you lose? And how many more will you need to prescreen in order to complete enrollment? 
Joao Siffert: We don't have any knowledge of losing any patients. But of course, we have to go through scheduling these patients over time. 
Blair Cohen: And I know you touched on this a little bit earlier, but what is likely to be the pace of treatment for the VITAL trial going forward? In other words, how many patients do you expect to treat per month? 
Joao Siffert: I think realistically, 1 to 2 patients a month. I think 2 patients a month is our goal, and we are, I think, on track for that. But of course, a lot can happen still on the COVID disruption. So I think that ultimately will depend how quickly we can resume full activities in the -- on the medical center side. From the internal side, we're equipped to treat 2 patients regularly. 
Blair Cohen: Okay. And then building off of that, as far as the effects from COVID-19, can you comment on any larger execution issues that you may have going forward? 
Joao Siffert: The main hurdle for execution over the past several months was one, travel restrictions and also the diversion of the resources and the medical centers to attend to the patients with COVID-19 infection. So these have eased up a bit. Obviously, things are still not back to normal. So it will depend on individual medical centers. We have, as we mentioned earlier in the call, been able to dose patients with Sanfilippo syndrome, acknowledging that this is a rapidly progressive disease. So there was an impetus to try and get to these patients as soon as possible, especially the young ones who were declining fast. And a bit more cautious would be patients with RDEB because these are kind of more frail patients with large exposed wounds and sort of perhaps more at risk for infection. So with that largely resolved, but again, it is not fully back to normal, we expect that we'll be able to resume activities in full, over the coming months. 
 Enrollment is obviously being prioritized for these patients. The part that still is yet to resume fully is the follow-up visits. So, of course, have followed these patients for safety remotely through virtual visits. But for some of these assessments, we need patients to come back on-site for both the Sanfilippo and EB program, and these are just being scheduled now as we speak. 
Blair Cohen: Okay. Great. If I could just get one more in. I know you said for Europe, you're looking at an approval by 2023. Do you think that could come before U.S. approval? And what time line are you looking at for a U.S. approval? 
Joao Siffert: Yes. So of course, the time lines are mostly predicated on the activities we have to complete internally. So I can't comment, as I mentioned, on the FDA yet because they've been truly overwhelmed with the COVID efforts and prioritizing as per their statement, PDUFA time lines such as drug approvals or [ new IP ]. But in terms of the time frame, this is gated by our ability to both manufacture and release new product, which obviously has eventually to be tested for comparability. And ultimately, the length of follow up for patients who have been recently enrolled in the studies. We want to have the most -- as practical but as a robust data set as we can going into a regulatory submission. So that includes the 3 patient -- the end patients who have been dosed, all the patients who've been dosed in the study for safety and also additional young patients we just dosed and planted those before the end of the year. So that's -- these are -- that's how these time lines get us to 2023. 
Operator: And our next question comes from Difei Yang with Mizuho Securities. 
Difei Yang: Just one question each on the EB-101 and ABO-102. So for the EB-101 program, would you be able to comment if you were able to activate the new site on the East Coast. And it sounded like you have done a fair amount of prescreening work. So is it safe to assume that these patients have been prescreened? What's left to do is really just to travel to the clinical sites and get treatment. 
 Now second question is on ABO-102. And are you able to make comments with regards to the general understanding of regulatory pathway in the U.S., will it be more or less similar to the European guidance? 
Joao Siffert: Okay. Let me just -- thank you for your question. So let me take it one by one. So regarding the second site, after the peak of the crisis, we resumed working with the second sites trying to get ready. This particular site given the East Coast site was obviously in the core of the pandemic. So things were really shut down for a good part of the past quarter. So stay tuned, and we should be hopefully able to announce the second site in the coming months. 
 In terms of the prescreen patients, we had mentioned this before. We had 11 prescreen patients. These are prescreened under formal prescreening protocol. This is IRB approved. So they go through all the testing, genetic testing, biopsy, et cetera. So is this a question of deploying these patients into the trial, of course, the prescreening took place over the past 1.5 years. So we just are in the process of scheduling patients. And of course, people they're real-life people who have other commitments, sometimes we have to make adjustments on their travel schedule, whatnot. But so far, so good. 
 In the other factor in the rate of completion of the study is the number of wounds that are treated per patient. As you'd recall, our goal is to treat anywhere from 10 to 15 patients. But ultimately, we expect to have to treat 30 wound sites across these patients. So to the extent that the patients come in and have more wound sites treated per patient, we can probably then complete enrollment in the sort of lower end of the range, if you will. So the Stanford team has been very active, incredibly proficient and collaborative on this, and they are really doing a terrific job trying to bring these patients back in with the backdrop of international disruption in travel and whatnot. 
 So as far as the regulatory path for the FDA. We've had some preliminary discussions with them. And of course, they issued a draft guidance earlier in the year. But we have really -- have not any feedback from the FDA on the few submissions we've made. So ultimately, we would like to reconcile our plans such that it can serve both European regulators and FDA jointly. So because it's going to be obviously a single product. And so it's important to still wait for the FDA. We think that the plan that we have currently in place is you will largely meet the FDA requirements, but we cannot speculate on that until we hear from them specifically. The European Pharmacopoeia is fairly comprehensive on the quality and manufacturing. And oftentimes, these tend to be aligned anyway. So in general, FDA and EMA also communicate internally. So -- and we'll make sure that we share feedback we've had, so to do this in an open and collaborative way. But we have not gotten any formal feedback yet. 
Operator: And our next question comes from Mani Foroohar with SVB Bank. 
Mani Foroohar: A little more practical one. As you ramp up involvement, manufacturing, et cetera, on EB-101, can you give us a little sense on the tempo of any relevant increases in the R&D spend over the next few quarters? And then secondarily, could you give us -- could you give us a little bit of clarity on the status of the licensing agreement with REGENX and the ongoing arbitration, it sounds like we should probably not be modeling that $28 million payment as a definite event. 
Joao Siffert: So to the first question -- let me just answer the second question first. So the second question is regarding the arbitration of legal proceedings. We -- basically, what we can disclose is what's been written in our Q released. So I can't comment any further on that, unfortunately. Could you repeat your first question, Mani, just sort of escaped me? 
Mani Foroohar: Sure. You've talked about reaccelerating enrollment EB-101 moving forward. Like the R&D spend tempo as you ramp up those programs and related manufacturing. 
Joao Siffert: Yes. So on some -- obviously, if you enroll patients, this is the bulk of the variable cost, right? As you enroll more patients, this is -- obviously, there's patient-related fees in the procedures and whatnot. So this will tend to increase for a good reason, this is the kind of money we do want to spend, right? Toward progress of our programs. But we did have -- we did make some significant changes in the manufacturing supply chain, by bringing retrovirus manufacturing in-house, which we think will bring in significant savings over the next year. So these are, I think, important sort of measures for the supply chain itself, quality, control, derisking, et cetera, but also in addition to that, reduced cost. So -- and ultimately, as we complete enrollment in the Sanfilippo trials, eventually this -- the spend on those trials also will reduce. So we obviously follow these patients long term, but the bulk of the cost in these trials as being the actual treatment and the initial assessments. So some things will go up, some things will go down and eventually when we complete enrollment, then activities also will peter out. So there's -- so to answer your question, more in general, some things will go up, some things will go down. It may be a slight increase in R&D spend over the next 6 months, but then it may flatten out a bit. 
Operator: [Operator Instructions]. And we'll move next to Kristen Kluska with Cantor Fitzgerald. 
Kristen Kluska: Congrats on the progress, especially in light of everything that's going on. So the first question. As it relates to EB-101, you discussed a potential commercial launch in late 2022. Could you talk about how much time you might need to prepare for a launch after a potential approval? I guess what I'm trying to calculate is that given your rare pediatric disease designation, whether this approval could come before September 30, 2022, when you could potentially receive a voucher pending FDA time lines of course. 
Joao Siffert: Kristen, yes, thanks for your question, and maybe I'll give Michael some opportunity to speak a bit. So obviously, preparing for commercial launch starts ideally several years before because there's a lot of things that we need to work on. But Michael can give you -- on his long tenure with the company over the past 1.5 months, he can give you sort of some preliminary thoughts on that. Michael. 
Michael Amoroso: Sure, João. Thank you. And Kristen, thank you for the question. Yes, I think João said it well, our commercialization efforts have begun now, right, with bringing myself in we're starting to look at the right staff and team members to continue to bring into the organization to join the already very talented group in the clinical side of things. Preparation for launch? Absolutely starts now. Kristen, I think you spoke to the middle of '22. We have plenty of activities to get up and running. And that would obviously be with continuing to look at our footprint for sites for EB-101. So our activities have begun, and we'll continue to update on the progress during the ongoing quarterly calls. 
Kristen Kluska: Okay. Great. So I understand you're doing the preparations now, but I guess the question was more targeted towards once you have an actual approval in hand, how long that time line could take? And whether or not you think you could potentially get this approval ahead of this aspiration for rare pediatric disease designation vouchers? 
Michael Amoroso: João, I can take the first part of the question. 
Joao Siffert: Go ahead. Yes. I haven't looked at the specific timing for the voucher, Kristen. But go ahead, Michael. 
Michael Amoroso: Yes. And Kristen, the idea is that as soon as we get an FDA approval, we will be ready to launch EB-101, we'll have our commercial supply, and we'll be able to launch immediately upon FDA approval. There will be no lag for us to treat our first patient. 
Kristen Kluska: That's very helpful. And then for the MPS IIIA study, you've indicated that Cohort 3 could treat anywhere between 9 to 16 subjects. And for MPS IIIB, that could be up to 5 patients for Cohort 3. So just given that you've provided guidance today in terms of completing enrollment by the end of the year, could you discuss whether there's a specific patient number that you're targeting for each of these groups? 
Joao Siffert: No specific number of patients. But since we've -- obviously, there's a lead time before patients that ultimately come into enrolling the study from the identification prescreening process, et cetera. We have a general sense that we'll have sufficient patients to have a reasonable number of patients that fall under the current inclusion criteria, which is development quotient greater than 60 or younger than 2 years of age. So these are patients who still have preserved neurocognitive function study entry. So we think that would -- within the criteria, within the prescreening and the screening wards we have and patients who are waiting to be dosed, we should have sufficient patients to comprise a sufficient data set for -- to support a regulatory approval. Again, all this predicated on how well these patients do post-treatment. But at least in theory, that's -- I think we can meet these parameters for the end of the year. 
Kristen Kluska: Okay. Great. And then the last question for me is that I recognize meeting you had with the EMA related to ABO-102. But do you think the proposed outline could be similar to ABO-101? And are you thinking about any synergies across the 2 programs, given 1 or 2 is a little bit more advanced? 
Joao Siffert: Yes. At all times we're thinking about that. And of course, we make an effort to also engage specifically regarding ABO-101 formally, right? So although we can make these parallels and of course any lessons learned from the MPS IIIA program, we are already using to anticipate and see the MPS IIIB program. So absolutely. But we ultimately need formal feedback, and we need the EMA and FDA to concur that this is actually a sensible plan, which assume will be, but we obviously need to work on that. And even in process development for the manufacturing of a commercial-grade product, a lot of the learnings over the past year, including some of the process development we did for some other AAV vectors, including the MPS IIIA, ABO-102 vector will also serve well for the ABO-101 product. So I think that's correct. In summary, it's correct, your assumption is correct. But obviously, we'll double-check this with the regulators. 
Operator: [Operator Instructions] And I'm showing no questions at this time. So I'll turn the call back to João Siffert. 
Joao Siffert: Thank you, everyone. Again, appreciate everyone joining us this morning, and let us know if you have additional questions. And know that we're all very committed to fulfilling our mission. So thank you. 
Operator: And that does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time, and have a great day.